Operator: Thank you for standing by. My name is Janice, and I will be your conference operator for today. At this time, I would like to welcome everyone to the ACI Worldwide Inc. Fourth Quarter and Full Year Ended 2025 Financial Results. [Operator Instructions] I would now like to turn the call over to John Kraft. Please go ahead.
John Kraft: Thank you, and good morning, everyone. On today's call, we will discuss ACI Worldwide's Fourth quarter and full year 2025 results as well as our financial outlook for 2026. We will then open the line for your questions. The slides accompanying this webcast can be found at aciworldwide.com under the Investor Relations tab and will remain available after the call. As always, today's call is subject to safe harbor and forward-looking statements. You can find the full text of these statements in our earnings press release and in our filings with the SEC. These documents describe important risk factors that could cause actual results to differ materially from those indicated in any forward-looking statements. Joining me this morning are Tom Warsop, our President and CEO; and Bobby Leibrock, our Chief Financial Officer. Tom will begin with an overview of our Q4 and full year performance, strategic highlights and the progress we're making against our long-term plan. Bobby will then review our financial results in more detail, including segment performance, cash flow and our outlook for 2026. We will then open the line for questions. With that, I'll turn it over to Tom.
Thomas Warsop: Thanks, John, and good morning, everyone. I appreciate you joining our Q4 and full year 2025 earnings call, and let me start with the headline. 2025 was a very strong year for ACI. We delivered another year of double-digit revenue growth, improving margins and solid free cash flow, all of which are consistent with or better than the long-term financial framework we outlined at our Investor Day 2 years ago. For the full year 2025, we delivered $1.76 billion in total revenue. That's up 10% from 2024, and that was our second consecutive year of double-digit revenue growth. Adjusted EBITDA increased 9% to $507 (sic) [ 506 ] million, and our adjusted net EBITDA margin expanded to 42%. We also continue to execute against our capital deployment strategy. Our balance sheet remains exceptionally strong, and we ended 2025 with $196 million of cash on hand, net debt leverage ratio of 1.2x. This gives us significant flexibility to continue executing on our growth agenda while also returning capital to shareholders. In 2025, we repurchased 4.2 million shares, about 4% of the outstanding shares at the beginning of the year for $203 million. This strong performance is a direct reflection of our committed focus to our multiyear value creation strategy. As a reminder, our strategy emphasizes growth within our core vertical markets, disciplined operational execution and a return-driven approach to capital allocation. I also want to take a moment to discuss some of the important strategic successes we had at a segment level during 2025. First, in our Payment Software segment, in 2025, we took a major step forward in scaling our Bank and Merchant businesses by unifying them into a new segment, we call Payment Software. This increases efficiency, accelerates innovation, and it simplifies our operating structure. This part of our business delivered 9% revenue growth and 10% adjusted EBITDA growth. Demand was broad-based with Issuing and Acquiring Solutions growing 11%, building on strong double-digit growth in 2024. The year also saw meaningful growth in real-time payments with new contracts for both central infrastructure and bank solutions. In the fourth quarter, we signed a large European bank to Connetic, our cloud-native payments hub. This was the second Connetic signing in 2025, and that's further validation of its differentiated architecture and our long-term modernization vision. Customer interest continues to accelerate. Connetic is central to our long-term strategy. It offers customers both the immediate stability of proven technology and a path to modernization through a modern cloud-native architecture. Connetic's combination of capability, ACI's proven reliability and future readiness are major differentiators. Earlier in the year, we also signed one of our largest competitive takeaways in the Asia Pacific region in our Issuing and Acquiring segment. We're making progress on getting this customer live, and we fully expect to use them as a reference as we actively pursue other potential customers with outdated systems. In real-time account-to-account payments, we continue to sign new logos and extend our reach with existing customers. In Q4, we signed an important expansion with PayNet, Malaysia's real-time account-to-account national infrastructure. In the fourth quarter, we also went live with Banco de la Republica, the Central Bank of Colombia, which was a very strategic regional win for ACI. We also renewed and expanded our relationship with Canada's leading digital payments network. In the U.S., FedNow and RTP adoption is slowly increasing, and we're optimistic that volumes will continue to grow and be material. In 2025, ACI's Biller segment delivered another year of strong, consistent performance with full year revenues growing 13% and segment adjusted EBITDA expanding year-over-year, reflecting continued transaction growth and investment in advancing our market-leading Speedpay platform. The segment benefited from sustained momentum across core electronic bill payment transaction growth and ongoing customer adoption of ACI's go-forward platform, Speedpay One. We added many new biller logos and expanded relationships with many other customers, including one of the country's largest insurance billers and a top credit union to add new payment types and an upgraded modern payment experience. ACI is gaining share in the Biller market as more billers consolidate onto modern outsourced digital bill pay platforms. ACI is increasingly the partner of choice. I'll let Bobby cover the financials in a moment. But first, I want to address a topic that's top of mind for many investors, the impact of generative AI on the software industry and the volatility that has come with this. At ACI, we view generative AI as a significant opportunity, not a threat. We are already deploying it across the enterprise to improve engineering productivity, to enhance customer outcomes and to reduce structural costs, all while supporting our strong margins and cash flow profile. There's been a lot of speculation about whether AI could fundamentally disrupt software. While modern AI tools are very effective at generating code, and we use them extensively for this, ACI's platforms are not simply collections of software modules or computer programs. They're large-scale, mission-critical transaction processing systems operating at global scale, built on decades of payments expertise, deeply embedded regulatory and network rules and proprietary data derived from billions of transactions. Generative AI is a powerful tool, but is only one component of what's required to design, operate and continuously evolve industrial-grade payments platforms. From a technical perspective, our advantage rests on 3 foundations: transaction level data at massive scale, deep domain expertise in payment message flows and exception handling and highly resilient infrastructure engineered for always-on high-throughput environments. AI augments these foundations. It does not replace them. And when combined, those 3 foundations are difficult to replace and they provide ACI with durable, long-term competitive advantage and they lead to strong, sticky relationships. We at ACI are applying AI in 3 primary ways: first, engineering productivity. Our development teams are using a combination of industry standard and proprietary AI tools to accelerate design, coding, testing and maintenance across extremely complex code bases. These platforms involve thousands of interdependent components, integrations and country-specific variations and AI helps our engineers move faster while maintaining the reliability and security our customers require. As adoption deepens and training completes, we expect these productivity gains to compound over time. Second, operational efficiency. We're using AI to automate and scale knowledge-intensive workflows across our business. One example is our ability to index, query and analyze our entire corpus of customer contracts in real time. This allows us to instantly assess regulatory impacts, contractual obligations and pricing terms across the installed base, and that dramatically increases productivity in legal and compliance functions while lowering costs as we scale our business. Third, and I think most importantly, enhanced customer value. I want to give you an example within ACI Connetic, we're applying AI models trained on data from billions of historical transactions to address one of the most complex and costly problems in payments, exception handling and payment repair. Today, many large institutions employ hundreds of people to manually resolve errors in high-volume payments. By embedding AI-driven intelligence directly into the transaction flow, we are able to automatically identify likely corrections when there is an error and dramatically reduce manual intervention. The result is lower operating costs, faster settlement and a materially better customer experience. This capability cannot be created by an LLM, Large Language Model alone. It requires deep domain expertise, purpose-built software and of course, unmatched data at scale. In short, while we understand the broader concerns around AI and software at ACI, we're leaning in. We have an AI-first approach across the company that's coordinated through what we call our Velocity program, and we are already seeing tangible benefits across productivity, efficiency and [ customer ] outcomes. And quite simply, the combination of our resilient infrastructure, our extensive proprietary data and our unique domain expertise will allow ACI to continue delivering mission-critical payment and billing software that is deeply embedded in our customers' operations and very difficult to replace. We believe this positions ACI to remain a leader as payments technology continues to evolve. And one last important item before I turn it over to Bobby. I'm pleased to share that as part of our ongoing Board refreshment process, we announced today the appointment of Kim deBeers, whose unique skill set and deep professional and advisory experience will further strengthen the Board of Directors' governance approach and risk culture, complementing the backgrounds of our other directors. This appointment follows the previously announced additions of Didier Lamouche and Todd Ford back in October of 2025. And as part of a planned succession, Jan Estep and Charlie Peters have transitioned off the Board. I would personally like to welcome Kim and of course, thank Jan and Charlie for their many years of helpful service. I've enjoyed our time together, and I look forward to hearing about your future endeavors. In summary, 2025 was another year of significant progress for ACI Worldwide. We had strong balanced growth, expanding profitability and broadening global demand for all of our solutions, including our cloud-native Connetic platform. And we continue to invest in our AI-first road map, including Connetic capabilities such as real-time payments and digital currency connectivity, including Stablecoins, reflecting the themes we've talked about throughout 2025. I'm proud of our team, and I'm excited for the opportunities ahead to continue our shareholder value creation journey. I'll hand it over to Bobby to talk more about our financial results and the outlook for 2026. Bobby?
Robert Leibrock: Thank you, Tom, and good morning, everyone. I'll begin with a brief review of our fourth quarter results, then focus primarily on our full year 2025 performance, reflecting our long-term full year approach to managing the business. I'll close with our outlook and capital allocation priorities for 2026. The fourth quarter was a solid close to a year of strong execution. Total revenue in the quarter was $482 million, up 6% year-over-year, and recurring revenue was $304 million, up 13%, reflecting continued strength across both segments and growing demand for our recurring software-led offerings. For the full year, total revenue was $1.76 billion, representing 10% growth versus 2024. Recurring revenue was $1.21 billion, up 11%, underscoring the durability and quality of our revenue base. We delivered adjusted EBITDA of $506 million, an increase of 9% year-over-year and expanded net adjusted EBITDA margin to 42%, reflecting disciplined execution and the operating leverage inherent in our software model, which provides flexibility to continue investing in the business while returning capital to shareholders. Net new ARR bookings increased 7% to $70 million, while new license and services bookings were $255 million, down 12%. This year-over-year comparison primarily reflects the timing of contract signings between periods. With 2025 representing a more normalized Q4 to Q1 booking cadence and no change in underlying demand or deal quality. As Tom outlined, our results reflect broad-based demand across both segments and continued customer adoption of our modern payment and bill pay platforms. In Payment Software, revenue increased 9% to $942 million, and adjusted EBITDA grew 10% to $544 million. We continue to see increasing demand for our cloud-based offerings with SaaS revenue growing 15% in Q4 and 11% for the full year, alongside continued strength across our broader Payment Software portfolio. Growth was broad-based across issuing and acquiring, real-time payments, fraud management and merchant solutions. We also continue to make progress advancing ACI Connetic, including the key customer wins Tom referenced as part of our long-term platform and modernization strategy. As payment complexity increases globally, our large bank and [ processor ] customers continue to expand their relationships with ACI over time. Turning to Biller. Revenue increased 13% to $818 million, and adjusted EBITDA grew 7% to $141 million. Growth was driven by continued transaction volume with existing customers and strong new business momentum across utilities, government and consumer finance as more billers consolidate on to modern digital bill pay platforms. The segment continues to perform consistently with a revenue profile and margin structure that are well understood and predictable. We also continue to make progress advancing Speedpay One, our next-generation biller platform, which supports our long-term modernization strategy for the segment. Both segments provide a balanced growth profile with recurring revenue and exposure to multiple end markets, while each continues to invest in modern platforms and capabilities to meet evolving customer needs. Turning to cash flow and the balance sheet. Cash flow from operating activities in 2025 was $323 million compared to $359 million in 2024, reflecting normal timing differences in working capital, including receivables and deferred revenue. Underlying cash generation remains strong. We ended the year with $196 million of cash on hand and total debt of $823 million, resulting in a net debt leverage ratio of 1.2x adjusted EBITDA, below our targeted leverage range of 2x. Our balance sheet remains a significant strategic asset and provides flexibility to invest in growth while returning capital to shareholders. Capital allocation continues to be a core component of our value creation framework. In 2025, we returned $203 million to shareholders through the repurchase of approximately 4.2 million shares or about 4% of shares outstanding. We ended the year with $456 million remaining on our current share repurchase authorization. Turning to our outlook for 2026. Building on the momentum Tom described, our guidance reflects the durability of our recurring revenue base and continued growth driven by new customer wins, share of wallet expansion and increasing adoption of our cloud-native and real-time payment capabilities. For the full year, we expect revenue growth of 7% to 9% on a constant currency basis or $1.88 billion to $1.91 billion. For the first quarter, we expect revenue in the range of $405 million to $415 million. In terms of revenue phasing, we continue to expect a more second half weighted revenue profile with approximately 44% of full year revenue in the first half of 2026 and 56% in the second half, consistent with historical seasonality. We expect adjusted EBITDA of $530 million to $550 million for the full year and $88 million to $93 million in the first quarter. This outlook reflects continued cost discipline while reinvesting in high-return initiatives and maintaining flexibility to support our long-term road map. As we look at capital deployment for 2026, our approach reflects the strength and flexibility of our current financial position. We expect to allocate approximately 50% to 60% of our cash flow from operating activities to share repurchases in 2026, subject to market conditions and business needs, while continuing to invest organically and preserving capacity for disciplined strategic M&A within our targeted leverage range. To provide additional transparency and support investor understanding below adjusted EBITDA, our current expectations include net interest expense of approximately $30 million for the full year, depreciation and amortization of approximately $90 million, noncash compensation expense of approximately $65 million to $75 million and an effective tax rate of approximately 25%. We also expect capital expenditures of approximately $45 million in 2026 and cash taxes in the range of $80 million to $90 million. On share count, we expect diluted shares outstanding of approximately 105 million, excluding any impact from future share repurchase activity. Stepping back from detailed guidance, I want to put both our 2025 performance and our 2026 outlook into broader context. Since joining ACI last year, the consistency of execution and financial discipline across the organization has been clear. In 2025, we delivered double-digit revenue growth, expanded margins, strong cash flow generation and meaningful capital returns. Looking ahead to 2026, we enter with solid momentum, strong customer demand and a position of financial strength that allows us to both return capital to shareholders and invest in a compelling innovation agenda to support continued execution. With that, Tom and I would be happy to take your questions.
Operator: [Operator Instructions] Your first question is coming from the line of Jeff Cantwell with Seaport Research.
Jeffrey Cantwell: I think you answered the big questions that are out there right now about AI in your prepared remarks. I wanted to ask you a question on your revenue guidance for 2026. Can you just go through the building blocks and cadence? By building blocks, I'm curious how you get to an acceleration in the back half of the year? Is that coming from the Payment Software segment or from Biller? And what are those drivers under the hood? And then kind of second, what gives you the confidence that you can accelerate revenue growth in the back half? I know you tend to have a lot of visibility. So I want to kick the tires on that back half acceleration and what you see as the drivers?
Robert Leibrock: Jeff, it's Bobby. I'll jump in. So I appreciate the question. And to put it in context, if I zoom out and look at 2025, we delivered 10% growth. We had a strong start to the year, as we talked about at 15% in first half '25 and then delivered 10% in the full year. So some of this, as you point out, is going to be how the phasing 1 year compares to the next. But I appreciate the question because it really shows the strength that we see entering 2026. Think about our guidance of 7% to 9% growth. I'll start with a statement of that's pretty balanced across both of our segments. We see both Biller and Payment Software with strength to contribute into that high single-digit model. We have, as you mentioned, given our high recurring revenue model, we've got great visibility in this guidance looking at this year. And as you think about the first half versus the second half, a lot of that's going to do with the renewal fees phasing we see in that visibility and as we see the implementations and the new bookings and such that we've signed this year. So we feel good about the demand we're seeing across the board and how that plays out throughout the year.
Thomas Warsop: Yes. And Jeff, this is Tom. The -- Bobby already said this, but I'll just say it a little bit differently. We have a lot of visibility, as you highlighted, and not -- not just on the renewal book. Just as a reminder for everybody, I know you all know this, but when we sign a renewal, it doesn't matter when you sign it, the book -- the revenue gets recognized on the date of renewal. So that -- we can do a lot to accelerate signing. We can't do much to -- we can't do anything really to change when that revenue gets recognized. So we have a lot of visibility there. We also have a great deal of visibility to the deals that we talked about a few of them specifically, deals that were signed in 2025 and being implemented in 2026. And so revenue recognition typically happens when you go live and you start to see volume in the Biller and Merchant part of the business, especially. And so we have a lot of visibility there. We -- those deals are on track to implement as expected, and then we have high confidence in the revenue coming through. And we have very strong and growing pipeline in our key products, especially our Connetic products. So all of that gives us a lot of confidence, and it's a little bit more back-end weighted than last year, but that's sort of a normal thing that it fluctuates a little bit year-to-year, largely based on that renewal book, but also in tandem with the deals that we signed and expect to implement.
Jeffrey Cantwell: Got it. And then this is a little technical, but if we take the midpoints of your 2026 guidance, it does look like adjusted EBITDA, while it tracks revenue growth more or less, it does imply a slight compression. So my question is, can you talk about why, meaning what's in the business plan for this year? Or maybe should we chalk that up in some of the conservatism you guys have shown over the past couple of years. What are the main call-outs for adjusted EBITDA margins for this coming year?
Robert Leibrock: Yes, I'll jump in. So as you point out, on the revenue, as I mentioned, we're guiding 7% to 9% growth. We feel good about that, the visibility of it. And we feel good about the operating leverage we're seeing in the business. The guide on EBITDA is -- on a growth basis is about 6% to 9% as well. So both kind of straddling at high single-digit range. As you think underneath of it, we expanded about 100 basis points of margin in 2025. That's, I think, about 300 basis points in 2024. We're showing the operating leverage. And if I look at this past year, 2025 is going to play out -- or 2026 will play out similar to 2025, where we're re-purposing these investments for our new platforms like Connetic and Speedpay One. If I comment on 2025, the 100 basis points of margin, underneath of that, we doubled our investment in our Connetic platform by re-prioritizing that. We have similar focus around productivity entering this year. And some of this is the flexibility to invest throughout the year as we continue to build that out, Jeff. But I think we feel good about that. The other thing I'd mention, I hope you appreciate the additional transparency below the EBITDA line items. We tried to give you our visibility there. We have to model that out. And I think what you'll see is good double-digit growth on top of that high single-digit EBITDA is possible when you get into the other components that would drive EPS and other pieces, too.
Thomas Warsop: Yes. And Jeff, just to comment on your comment about conservatism. I think I hope that everyone agrees that over the last several years, we've tried to always do what we say. And so you could call that conservatism. We call it prudence, I think. We want to make sure that we give you guidance that we feel highly confident in. And we want to make sure that we continue to deliver on the commitments we make to you.
Operator: Your next question is coming from the line of George Sutton with Craig-Hallum.
George Sutton: And first, Tom, that was as impressive an explanation of the AI relevance to what you do that I've heard. So I think that was helpful. I wanted to address Connetic in terms of the pipeline. You continue to reference a growing pipeline. Obviously, prior to what you said today, you had signed just one bank with a small use case, but it sounds like there's more significant things coming in addition to the bank you just announced today. So can you walk through the pipeline there?
Thomas Warsop: Sure. So yes, you're absolutely right. We expected to have a relatively longer ramp of new signings. I always expected that you might remember, we can go back a year or more, and I was -- I think I was telling everyone on our earnings calls that I had actually not given the sales team permission to sell Connetic because we wanted to make sure we were ready and that the product was there, and we started actively selling last year first -- in the first quarter of last year. So we're actually quite pleased with the traction that we've gotten, the sales that we have. They're as expected, and that's great. but the real question is what about the pipeline. And we feel very good about the pipeline. Connetic is the fastest-growing portion of our overall pipeline by a significant margin. And that's exactly what we expected. It's exactly what we want. And another important point is we did start -- you mentioned, I think you said a limited use case. It was a very important use case for a European bank was the first signing that we had. And again, we understood that because there's a lot of pressure and focus on financial institutions in Europe around instant payments. We knew that customers would need that help, and that's why we built -- completely built out that portion of Connetic's capabilities. We continue to expand and Bobby was just talking about the continued investment in future products, and Connetic is a big part of that. We continue to expand the functionality and very shortly, we will be launching the card portion of ACI Connetic. And that will significantly expand the use cases that we can support with our general availability versions of Connetic. So that's exciting. But even before we launched that portion, we're seeing significant growth month-on-month on the pipeline. Now these are long sales cycles. These are big decisions for these financial institutions. And again, we expected that, but we are making excellent progress. Pipeline is growing. We continue to add functionality and will continue to add functionality, which continues to increase the level of interest. And then one, I think, quite important point, when I look at the pipeline overall for Connetic, the 2026 potential closes, about 2/3 of those opportunities on a numbers basis are mid-tier financial institutions. So remember, if we go back, you will probably recall that we made a very specific point of saying that we were targeting the mid-tier, which is something we've never targeted as a company before. And so that pipeline, that is actually growing even faster than the total pipeline. And again, 2/3 of the opportunities we're working on right now are in that mid-tier segment, which is completely net new for us. So it's good news all the way around. We're excited about it. Our sales teams are very excited about having these really compelling value propositions for our customers.
George Sutton: One other thing on real-time payments. You mentioned the addition of some additional logos. As a golfer, I'll ask it in this context. What hole are we on in your view relative to real-time payment -- penetration?
Thomas Warsop: Yes. I like that analogy, George. We're -- I think we're still pretty early in the cycle. We've done a good job at ACI over the last 3 or 4 years of planting flags on the real-time payment side. As I mentioned, we had all the different flavors of real-time payments wins. We had some really important implementations, for example, in Colombia that I specifically mentioned. And we're seeing growth in transactions, and that will ultimately lead to growth in revenue. In 2025, that part of our business grew about 8%, and we expect it to continue to be a significant contributor to our growth overall. But I'd say we're still early days. We've talked a lot about it. We've had good growth. We have a lot of wins to show across the world. But I think in terms of overall adoption and volumes, we're still in relatively early innings. Sorry, you said golf. So on an early hole. Front line, George.
Operator: Your final question is coming from the line of Charles Nabhan with Stephens.
Charles Nabhan: I want to put a finer point on some of the 2 earlier questions. In the past, you've called renewals as an uplift upon renewals as a tailwind. You've called out CPI, you've called out pricing. You've called out an uplift coming from volumes. Could you maybe touch on that tailwind? And if you're seeing any change in the uplift you're seeing upon renewals? It sounds like we're still early days in terms of the RTP adoption. But any -- are you seeing any changes in that uplift upon renewals? It sounds like we're -- again, it sounds like we're still on the front line, but I wanted to get a little clarity about that as we think about the building blocks for '26 and '27.
Robert Leibrock: Yes. I'll jump in, Chuck. I appreciate the question. It's Bobby. And I'll talk about it across both businesses. And I think a lot of the times when we talk about those 4 or 5 areas, we've talked about Payment Software, which I'll come to. And -- but first, I'll start on the Biller business that grew 13% last year. In that business, recurring revenue business, processing model, cloud-native model, that 13% really had a couple of buckets there. One would be the high retention rates we're seeing and the new logos underneath of it and the transactions. We see opportunity to continue to grow in that business, one, through price and also through value-added services we can put into there. And that business model, I see the first 3 buckets more around retention rates, transactions and new logos. I think we have opportunity for the fourth and fifth, which would be price and value-added services. So that 13% very solid. The second part and a lot of the question, you're mostly asking a Payment Software question where we grew 9% last year. Really happy with that off of a double-digit growth in the prior year in 2024. Underneath of that, similar to the Biller business, our retention rates are very nice. You add on top of that the transactions we're seeing, which continue to grow in mid-single digit across the market in terms of transaction base. We get respectable price in this area. And then I think we're in the early innings in terms of the lift you're going to see in there across real-time payments, especially fraud and the payment intelligent capabilities that we're investing in that will continue to grow those customer relationships and then Connetic. So those are the pieces. I will say the fifth though is always new logos. And this is an area where we had much better progress in 2025. And the focus that Eric and the team have across this, our General Manager for this space on new logo, new logo pipeline is only intensifying. So I see good upside in those last 2 buckets in this business around expansion into the rest of the portfolio and new logos.
Thomas Warsop: Yes. And Chuck, just one thing to add there. You specifically asked about uplift on renewal. And we continue to see very strong performance in that area. We're extremely good at driving cross-sell, upsell, price and which -- all of which contribute to that uplift on renewal. So we're very good at it. We expect -- we're not seeing -- we're seeing upside there, not downside.
Charles Nabhan: Got it. And as a follow-up, I wanted to ask about strategic M&A. You mentioned that in your prepared remarks. I wanted to get a sense for -- and you did a deal -- a small deal last year. I wanted to see if there's any particular areas of interest you could point to with respect to inorganic growth.
Thomas Warsop: Yes, absolutely. So we -- I have the same comment I've had for quite some time on this. There are 2 main areas where we're focused, and we will be opportunistic on this. We're not -- this is not something where we're out there every day seeking something to buy. But there are a couple of areas. One would be an ability to accelerate what we're doing with Connetic because as I mentioned before, we continue to add features, functions, capabilities into Connetic. And if we find a technology, and it would likely be a technology acquisition, we buy it because we like the technology. If we found something that would enable us to go faster in building out the -- what we think are the market-leading capabilities of Connetic, that would be very interesting for us. And we certainly have capacity if we find the right opportunities. That's one, accelerate Connetic. Number two, would be if we can -- if we found something that would enable us to expand geographically, for example, there aren't many areas around the world where we don't have a significant presence, but there are a couple of holes, and that could be interesting for us to take a bigger focus on a particular geography, could be interesting. So those are the 2 primary areas that we've been open to, and I think we still are open to those, but with a lot of focus in making sure that we are really pushing on Connetic, accelerating that as much as we possibly can, both with our organic investments that Bobby mentioned before and then potentially inorganic. Although there's nothing -- I don't have anything to announce, but that would be interesting to us.
Robert Leibrock: And I think, Tom, if I could add, let me put it in context, Chuck, of our broader capital allocation strategy. So last year, we generated $323 million of cash flow from operating activity, and we returned over $200 million of that to shareholders through share repurchase. We continue to invest in the business. We paid down our debt to 1.2x leverage. What we wanted to do is get out in front of that this year and give investors the confidence that we have similar levels of planning to deploy 50% to 60% of our cash flow from operating activity, which tends to convert at about, call it, 60%, 2/3 of our EBITDA to return that to shareholders this year. In addition to that, that gives us the flexibility to do exactly what Tom just said around opportunistic M&A. And as I said in the comments and you saw it in our press release, and we think we can do that within our 2x leverage that we see. So looking across the market, I think we've tried to give a lot more transparency in how we plan to deploy capital this year and be opportunistic to invest in the business organically like Connetic, continue to look at inorganic opportunities, but maintain our commitment to shareholders with that 50% to 60% return to shareholders through share repurchase.
Operator: Currently, we don't have any other questions in queue. I'll turn the call back over to Tom for closing remarks. Please go ahead.
Thomas Warsop: Thanks, Jess. And thank you all for joining us, and thanks for the insightful questions. I just want to make a couple of comments to close. We feel great about 2026. We feel great about the momentum we're seeing. Our guidance reflects the clear visibility we have into pipelines, renewals and implementation schedule. We've talked quite a bit about that this morning. We're taking an AI-first approach across the company. We're already seeing tangible benefits in customer outcomes and productivity. And at the same time, we're very clear-eyed about what creates durable advantage in our industry. The platforms we operate are mission-critical. Obviously, they're highly reliable, and they need to continue to be so. They're deeply embedded in our customers' critical workflows, and we sit at the center of payment flows that are global, highly regulated and increasingly complex. From our cloud-native orchestration with Connetic to Speedpay's never miss a payment standards, ACI's leading domain expertise and unrivaled global data has earned us trust over many decades. With a clear strategy, resilient portfolio, accelerating growth and significant financial flexibility, we're well positioned to continue delivering long-term value for our shareholders. Thank you very much again for joining us. Have a wonderful day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.